Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Raven Industries Inc. Fiscal Year 2021 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers presentation there will be a question-and-answer session.  I would now like to hand the conference over to your speaker today, Jared Stearns, Investor Relations Manager. Thank you. Please go ahead, sir.
Jared Stearns: Good morning, and welcome to the Raven Industries' fiscal 2021 year-end investor conference call. Today's call is being webcast live, and will also be archived on the company's Web site for future listening. On the call today will be Dan Rykhus, Raven's President and Chief Executive Officer; and Taimur Sharih, Raven's Vice President and Chief Financial Officer; Steven Brazones, Division Vice President of Applied Technology; Lon Stroschein, Executive Director of Corporate Development; and Bo Larsen, Director of Finance.
Dan Rykhus: Thanks, Jared. Good morning and thank you all for joining us today. We look forward to recapping our Q4 and FY'21 performance with you. And I want to start by addressing our response and performance throughout the pandemic. A year ago, as the impacts of the global pandemic started to set in, my leadership team and I quickly established the critical and essential priorities, and objectives for how Raven would lead through the pandemic. Our primary focus became the health and wellbeing of our team members and our company. In April of 2020, we adopted four strategic priorities for the year. The first priority was uphold and preserve the Raven way, which consists of our values, dimension to competition, and business model, as these guide our decision making. We also placed a strong emphasis on generating cash flows through an enhanced focus on working capital management. Additionally, we focused on preserving the core in all three of our divisions by ensuring the strength of our team, our product lines, and our customer relationships. Fourth, in a bold move, we prioritized our continued and unwavering investment in Raven Autonomy, our strategic growth initiative that will drive substantial long-term growth. One year later, I'm very proud of the way our team responded and executed on these priorities. Our company and team members showed resiliency, ingenuity, and compassion for one another inside and outside of Raven throughout the pandemic. This compassion is evidenced by our quick pivot to produce PPE gowns for medical personnel locally and throughout the Midwest, along with fulfilling a contract for FEMA to aid in the pandemic response. Our team rose up to meet the challenge again and again, and we've learned a great deal in fiscal 2021, and those lessons have made us stronger. In spite of the pandemic-related challenges, we also made key advancements on our strategic platforms for growth, Raven Autonomy, Raven Composites, and Raven Thunderhead, but further developing technology and autonomy in Thunderhead, while building out our composites operations. In a few minutes, Steven and Lon will be discussing these further. But I will say this, the opportunities across these markets are substantial, and will drive a step change in the long-term growth of our company.
Bo Larsen: Thank you, Dan. As Dan mentioned, we are proud of how the company executed throughout Q4, and all of fiscal 2021, and that includes our financial performance. During the year, we generated over $55 million in cash flow from operations, and increased our cash position by over $12 million. This growth in cash was achieved while aggressively investing in Raven Autonomy, acquiring the remaining voting control of DOT, investing $16 million in capital expenditures, and while facing pandemic-related challenges which significantly impacted customer demand in some of our end markets. In Applied Technology, the fundamentals of the division and the market are extremely strong. In the fourth quarter and throughout the fiscal year, we leveraged these strengths and our industry-leading technology to drive year-over-year growth. This growth was led by increased sales in our OEM channel, both domestically and internationally. We continued to aggressively invest in Raven Autonomy to drive a step change in long-term growth, but we have maintained strong profitability in   underlying operations despite unprecedented production challenges and supply chain constraints brought about by the pandemic. In the fourth quarter, improving commodity prices and market conditions helped drive an increase in demand, further building our confidence for an even stronger fiscal 2022. Out of the three divisions, Engineered Films faced the biggest challenges throughout fiscal 2021. Oil prices and rig counts were significantly lower than the previous year, with the right counts down approximately 70% for much of the year. This led to a sharp decline in revenues for our film within the energy submarket and for our installation services. Despite end market challenges, the division's fiscal 2021 accomplishments included, year-over-year within the industrial market, improved networking capital levels leading to strong cash generation, fulfilling a $4.8 million contract with FEMA to aid in the pandemic response, and adjusting sales and production processes to better serve our customers and gain share in the markets we serve.
Steven Brazones: Thank you, Bo. I took over as Division Vice President of ATD only a few months ago, and I couldn't be more excited or more inspired to be a part of this impressive team. We have made progress in the development and integration of Raven Autonomy to advance our autonomous solutions. In preparation for AutoCart's market introduction this summer, we have recently started providing demonstrations for customers, and have already received the first orders. Field demonstrations will continue through the next several months, while we take orders and begin production of units to be shipped out ahead of the harvest season. For DOT, we have conducted extensive field validation and testing, meeting critical milestones for performance, covered acres and runtime. And we are progressing toward product launch later this year. The interest in the market has been extremely strong. We are working with potential partners to expand our capacity as we expect to sell out our current manufacturing capacity in fiscal 2022. The demand for our autonomous technology in agriculture continues to grow. And we are in a strong position to capitalize on the substantial opportunity to change the way farming is done around the world. We regularly receive requests from OEMs and other technology companies wanting to partner with us as we work to progress this technology. We remain focused on delivering solutions through our technology while also transforming Ag equipment to address the needs of the next generations of farming. Raven Autonomy is the largest investment our company has ever made and expands our total addressable market by more than 5x. The growth potential of delivering semiautonomous and fully autonomous solutions is substantial. And we are in the leadership position -- excuse me, to execute on the opportunities.
Lon Stroschein: Thank you, Steven. In the same way Raven Autonomy expands the addressable market for applied technology, our move into rigid composites for engineered films also propels the division into growing adjacent markets. By integrating our technology of printable and paintable high value surface films with a light weight rigid composites, the addressable market for engineered films grew significantly. This strategy will allow us to generate strong growth within the division from high margin opportunities. COVID impacted different people in different ways this year. For me, it created an opportunity to spend eight months in engineered films meeting our sales organization. There was no greater or better experience to build a deep appreciation for Raven Composites. Our Raven Composites strategy was slowed by the pandemic as we put certain acquisition activity on hold to preserve our cash. Throughout most of the year, however, we remained focused on developing solutions that combine our high value surface films with rigid composites and then introducing proprietary solution to grow markets such as transportation and recreational vehicles. This strategy leverages our existing production capability and our expertise in extrusion and lamination. Despite the pandemic, we held to our strategy of building a composites operations in our Waynesboro, Virginia facility while also perusing acquisition opportunities to propel Raven Composite strategy. We resumed investments in Raven Composite in the third and fourth quarters of fiscal '21. And moving forward, we will continue bolding investing in this strategic platform for growth through research and development, manufacturing capabilities, and acquisition activity. The opportunity to our leverage expertise in thinner, lighter, and stronger materials within rigid composites is substantial. And we look forward to delivering new products in fiscal 2022. Moving now to Raven Thunderhead, Raven Aerostar stratospheric balloon platform for communications and persistent surveillance, Raven Thunderhead progressed significantly in fiscal '21. We achieved another flight duration record of 94 days earlier this year while also autonomously piloting the platform of our customer designated areas of interest. We also conducted a multi-flight campaign with the Department of Defense in Guam, which demonstrated the persistent capabilities and functionality of Thunderhead platform during a wartime simulation. The momentum within the Department of Defense to use stratospheric technology is growing. And we will continue to make necessary investments to enhance our positioning to capitalize on significant opportunities for Thunderhead.
Dan Rykhus: Thank you, Lon. I hope you can see why we are still confident in our long-term investments and growth. Switching gears, a few months ago I asked Steven Brazones to move into a new role as the Division Vice President for Applied Technology. Over the past year, we have initiated a bold growth plan which has favorably repositioned the business and started a substantial growth trajectory for applied technology. The division needed the right talent to lead during this period of accelerated and substantial growth. With Steven's experience and strategic decision making and drive for execution, he is the ideal executive to lead the division. Steven has been an exceptional leader for our company over the past six years as our CFO. And I am very excited to have him in this role today. Steven's move to Applied Technology has also led us to adding Taimur Sharih as our new Vice President and CFO. Taimur brings a wealth of experience as a senior financial leader across a variety of organizations and industries, and will be a great fit for our team and culture. Taimur?
Taimur Sharih: Thank you, Dan. One of the first things that jumped out to me when I joined the company was Raven's commitment to solve great challenges. And in the first few weeks that I've spent time with our team members throughout the organization, whether they be from production, sales, engineering, or senior leadership, I see this mission being carried out to solve great challenges with passion, with drive and attention to detail. Raven has a very strong margin profile, an exceptional balance sheet and very healthy cash flow generation capability. All three of these elements are foundational and key to success in any strategy. And I look forward to helping the company leverage these trends to capitalize on the opportunities in front of us, drive a step change in growth and generate significant shareholder value.
Dan Rykhus: Thank you, Taimur. Looking at fiscal 2022, we have robust demand and strong underlying market fundamentals across most of the markets we serve. This is particularly true in Applied Technology, and we expect much of the same for Engineered Films. In Applied Technology, rising corn and soybean prices in the U.S. have created one of the strongest Ag markets in the last decade. Commodity prices remain substantially above the five-year average. U.S. farm incomes in 2020 reached their highest level since 2014 and China's grain demand is increasing. In addition, we've seen strong forecast from Ag equipment OEMs and Ag retailers in North America. And these market factors combined with the strength of our product lines have led to record demand for our Ag technology solutions. Like many other companies and industries across the globe, pandemic related supply chain constraints are challenging the division's ability to satisfy all of this demand, but our team is working diligently to solve those challenges.
Operator:  Our first question comes from the line of Chris Moore from CJS Securities. Your line is now open.
Chris Moore: Hey, good morning, guys. Thanks for taking a few questions. Maybe we'll start on autonomous, can you just maybe talk a little bit more about the autonomous rollout between the   rollout this summer, and the fall of calendar 2022, are there -- what are the important milestones that you're looking to achieve during that timeframe?
Steven Brazones: Sure. Good morning. Chris, this is Steven. So, right now we're in the midst of taking orders right now on AutoCart. And that we've been doing customer testing and demonstrations throughout the beginning of this year in anticipation of the fall harvest season, here in North America. And our expectation is to sell 75 units in this limited release in fiscal year '22. So for us, we're hitting the milestones that we've expected to hit. And the response that we're seeing from our customers and from the dealers has been tremendous. And so we're really emboldened by that, and encouraged by that with respect to AutoCart. With respect to DOT, we've got limited production capacity this year, and we expect to sell out the capacity that we have. There too, the tremendous response from our customer base has been significant. And we're in the midst of finalizing the testing of DOT, and preparing orders, and for a fall launch. So there too, we're hitting the milestones that we're expecting to hit this year. Overall, I would expect about $7 million of revenue to be contributed from Raven Autonomy in FY'22, on a path to a substantial ramp in fiscal '23. So, really exciting time right now for Raven Autonomy.
Chris Moore: Got it, that's helpful. And maybe switch gears to composites for a second. Obviously, as you talked about Engineered Films was heavily impacted by COVID. Maybe just talk a little bit about the strategic expansion plan on composites, as should we view it as kind of being delayed by a year. I know there was R&D going on during that timeframe. Obviously acquisitions didn't happen. But how should we view the Composites' kind of strategic plan that was laid out at the Investor Day, in November '19?
Dan Rykhus: Yes, Lon, you want to handle this one?
Lon Stroschein: Yes, absolutely. Hey, Chris, this is Lon Stroschein. There's no doubt, when COVID set in, we hit pause on Raven Composites' strategy as it relates to, certainly, the acquisitions. But there were some other parts of the strategy as it relates to developing our film, that's going to marry up with Raven Composites that we continued to invest in. And now, more recently, as we turn back on the investment later in the year, we anticipate having the capability of manufacturing some of our own composites and then laminating our products to them. So, we anticipate seeing revenue in this year, but it's absolutely been delayed by about a year.
Chris Moore: Got it, that's helpful. All right, I'll jump back in line. I appreciate it, guys.
Dan Rykhus: You bet.
Operator: Thank you. Our next question comes from the line of Kristen Owen from Oppenheimer. Your line is now open.
Kristen Owen: Hi, good morning. Thank you for taking my question. And appreciate all of the commentary on the growth platform. I just want to a follow-up on Autonomy. You talked about accelerating some of the spend there to support these launches later in the year. How should we think about that comparing to the $17 million spent in Autonomy in fiscal '21?
Taimur Sharih: Sure. Good morning, Kristen. This year, we're expecting to invest approximately $23 million into Raven Autonomy. So, increasing that investment from what you say in fiscal year '21, primarily given the -- just the confidence that we have that we're on the right path with our investment in Raven Autonomy, and also the opportunities that we're seeing particularly with respect to a lot of the industry participants, who are giving us calls almost on a continuous basis looking to partner with us and to bring this technology to the marketplace. So, we would expect FY '22 to have about a $23 million investment in Raven Autonomy.
Kristen Owen: Okay, that's helpful. Thank you. And then, just on more of the core business, we're seeing a focus on spraying applications by the OEMs, in terms of both the economic and environmental benefits of precision spraying, can you talk about sort of what you're focusing on, and what we will call that core Raven technology platform, and how we should think about maybe the opportunity to gain share as these OEMs start to turn more of their attention to this area?
Dan Rykhus: Sure. So, for us, we're in a very enviable position from a technology standpoint with our Hawkeye Gen 2 Application Control System, industry-leading technology in the marketplace, which lends itself very nicely to, I think what you're referring to is Spot-Spray Technology. So, we've got the application controls, we have the boom controls, and all of the systems to make the sprayer perform at a very high-level, in a spot-spray environment. And so, we're in conversations with a number of potential partners in that space that will allow us to bring additional Hawkeye units into the marketplace globally in FY '22 and '23 and beyond.
Kristen Owen: Great, thank you so much. We'll take the rest offline.
Dan Rykhus: Thank you.
Operator: Thank you. Our next question comes from the line of Ben Klieve from Lakestreet Capital Markets. Your line is now open.
Ben Klieve: All right, thanks for taking my questions. First, just a couple of quick housekeeping items and then a couple big picture questions, in the Applied Technology segment, can you break down the revenue that was delivered in the fourth quarter on a full-year basis from the customer that you parted ways with?
Taimur Sharih: Yes, so in the fourth quarter, we did about $1 million with that last time by exit that compares to the prior year fourth quarter of about $4 million. So if you look at the underlying performance of the division, the growth rate was about 18%. When you look at the full-year, we did about $17 million in that last time by activity, and that compares same customer sales for the prior-year of about $8 million.
Ben Klieve: Okay, perfect. Thank you. And then, on the Aerostar segment, you alluded to some issues around kind of timing of awards and it looks like the conclusion of the Aerostat, significant Aerostat award. Can you kind of break down that a bit more? I mean, was the timing effect exclusively, it seems like revenue that was pulled into the third quarter rather than pushed out into fiscal 2022. And then on that Aerostat Award, their renewal extension possibilities, or has that contract does expires?
Dan Rykhus: Yes, so from a timing perspective, it wasn't revenue was pull forward, right? We had officially completed that Aerostat contract in the third quarter, bigger picture looking at Aerostar and the changes done between the third and fourth quarter, part of that was Aerostat and part of that was also lower flight campaigns. As we look forward in terms of new Aerostat contracts, those do come in and out and we don't necessarily know the timing of those. And that tends to be the history of Aerostat business for, it is a nice profitable business. And we do like to execute on those when the opportunities come up, but they aren't necessarily as recurring in nature as wide operation opportunities and our radar platform capabilities.
Ben Klieve: Got it. Thank you. That's helpful. Turning to a big picture question on Autonomy, very exciting developments here. I was curious if you can talk about the branding of this, you alluded in your press release kind of a re-brand, talk about how this segment is going to market and kind of what that rebrand really entails. Any note there would be helpful.
Dan Rykhus: Sure. So we're probably within weeks of launching our new campaign and re-branding of Raven Autonomy and the technology that we're bringing to the marketplace. We're in the final stages of selecting certain phrases and certain terminology that we're going to use. So I'd love to give you a sneak peek but I think we're on the cusp here. And we'll be communicating more about that here in the next few weeks, but really excited about how it's coming together to have some external help coming in, from a marketing perspective it's really providing us some really interesting ideas, and to supplement that with our technology.
Ben Klieve: Okay, that's helpful. I have a quick follow-up, and then I'll get back in queue. So it sounds to me like, there's not really a re-brand here that this is basically just establishing the marketing ahead of the launch. There's not any kind of material re-branding here. Is that right?
Dan Rykhus: So DOT as it's referred to in the press release, and in during today's call will not be referred to as DOT any longer. So DOT will be re-dotted.
Ben Klieve: Yes, okay. Okay, okay, that's helpful. Okay, very good. I appreciate the answers, and that does it for me, I'll jump back in queue.
Dan Rykhus: Thank you.
Operator: Thank you. At this time, I'm showing no further questions. I'd like to turn the call back over to Jared Stearns for closing remarks.
Jared Stearns: Thank you very much for joining us today. We appreciate you listening and for your interest in Raven Industries. Thank you and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.